Operator: Good day ladies and gentlemen. Thank you for standing-by. Welcome to the Super Micro Computer, Incorporated. Fourth Quarter and Fiscal 2017 Conference Call. The company’s news release issued earlier today is available from its website at www.supermicro.com. In addition, during today’s call, the company will refer to a slide presentation and the CFO commentary which can be accessed in a downloadable PDF format on its website at www.supermicro.com in the Investor Relations section under the Events & Presentations tab. During the company’s presentation all participants will be in a listen-only mode. After word securities analysis we’ll be invited to participate in question-and-answer session, but the entire call is open to all participants on a listen-only basis. As a reminder this call is being recorded, today’s Thursday, August 3, 2017. A replay of the call will be accessible until midnight, Thursday, August 17, 2017, by dialing 1 (844) 512-2921 and entering replay pin 7567416. International callers should dial 1 (412) 317-6671. With us today are Charles Liang, Chairman and Chief Executive Officer; Howard Hideshima, Chief Financial Officer; and Perry Hayes, Senior Vice President, Investor Relations. And now I’d like to turn the conference over to Mr. Hayes. Mr. Hayes, please go ahead, sir.
Perry Hayes: Good afternoon everyone and thank you for attending Super Micro’s conference call on financial results for the fourth quarter and fiscal 2017, which ended June 30, 2017. By now you should have received a copy of today’s news release that was distributed at the close of regular trading and is available on the company’s website. As a reminder, during today’s call, the company will refer to a presentation as well as the CFO commentary that is available to participants in the Investor Relations section of the company’s website under the Events & Presentations tab. Before we start, I’ll remind you that our remarks include forward-looking statements. There are a number of risk factors that could cause Super Micro’s future results to differ materially from our expectations. You can learn more about these risks in the press release we issued earlier this afternoon, our Form 10-K for fiscal 2016 and our other SEC filings. All of those documents are available from the Investor Relations page of Super Micro’s website. We assume no obligation to update any forward-looking statements. Most of today’s presentation will refer to non-GAAP financial results and outlooks. An explanation of our non-GAAP financial measures can be found in our slide presentation or in our press release published earlier today. In addition, a reconciliation of GAAP to non-GAAP results is contained in today’s press release and in the supplemental information attached to today’s presentation. I’ll now turn the call over to Charles Liang, Chairman and Chief Executive Officer.
Charles Liang: Thank you, Perry and good afternoon everyone. Let me summarize our fourth quarter. Revenue was $717.9 million. It’s 36.9% higher year-over-year and 13.7% higher than the previous quarter. Non-GAAP net income was $20.7 million. Non-GAAP earnings per share was $0.39 per diluted share compared to $0.38 last quarter and $0.20 last year. Non-GAAP EPS was 95.8% higher year-over-year and 20% higher than last quarter. Super Micro achieved new record high in revenue in the first quarter which exceeded our expectations. Throughout fiscal 2017 our revenue was over $2.5 billion or 14% better than last year. We’ve been remarkable is that our fiscal 2017 second half achieved 37.6% growth over last year, which is many multiples higher than the overall industry and any other Tier 1 vendors, which owes our payments rates and some momentum as we finish the fiscal year and coming to a major technology refresh cycle [indiscernible] Super Micro had built a strong foundation, for sustaining high gross, while maintaining profitability every quarter for 24 years. Over the last three year, we’ve made a significant investment in global production capacity operations, system solutions, quality, global service and management software. In [indiscernible] our engineering staff by over 60% bringing the most advanced in both these portfolio of server and storage, global service and management software to the market. [indiscernible] investment that we are proud the new Supermicro 3.0. Supermicro 3.0, positions us as the fastest growing Tier-1 IT Infrastructure Provider, capable of delivering first to market product innovations in global scale with quality, management software, on-site global and support to engage our rapidly growing enterprise customer base. The record high revenue in strong second half growth rate is a direct result of Supermicro 3.0 investment. With the major fundamentals in place and the new Skylake product portfolio shipping, future investment and expenses will begin to flatten driving improved profitability moving forward. The new foundation of Supermicro 3.0 has three potential locations worldwide totalling almost 3 million square feet with a [indiscernible] including dedicated record ever integration, conversion and validation combined this capacity can support annual revenue up to $5 billion on hardware alone. In 2017, we ship approximately 1.2 million [indiscernible] storage notes in systems and subsystems based on [indiscernible] estimates. This [indiscernible] is about 10% over our total number of system shipped in the world. Under Supermicro 3.0, our direct deals in large enterprise datacenter storage and people learning is expanding rapidly. We are seeing significant engagements with large enterprise customer than they were before from Fortune 100 companies in technology, social media, [indiscernible] news media, cable companies and Internet [indiscernible] We are engaging earlier for technology optimization and providing more total solutions which include complete assistance software integration, quality reputation, solution optimization, datacenter management software and global on-site service. Our channel strategy have also evolve under Supermicro 3.0, we are working more closely with the channel and with their end user to provide solutions that drive the demand to our partner. Channel accounts for 46.3% of our revenue, and we are becoming most strategic vendor to those channel partner [indiscernible] which contributed to the gross of total system revenue of 74.3% over a quarter. Under Supermicro 3.0, we also continue to invest in new product [indiscernible] to enhance our [indiscernible] solutions including our [indiscernible] of over 100 new X11 system model based on Intel [indiscernible] solutions have been optimized to deliver the high scale performance and efficiency from the new Intel processor, and latest NVMe innovations especially All-Flash and hybrid NVMe solutions. We have seen our major design wins for our new 2U 4-node, BigTwin offering in both service provider and as well as major storage OEMs. The advanced feature of our 2U 24 OEM [indiscernible] at a major financial service company. And we have seen triple digit growth in our GPU and [indiscernible] system sales. We continue to be the leader in NVMe technology, and our [indiscernible] over NVMe sale is growing dramatically. We secure several new major [indiscernible] specific robotics such as autonomous driving based on our NVMe competitive advantages. NVMe storage delivers orders of [indiscernible] better performance than Chetana Solutions. And we have over 18 optimized designs available [indiscernible] capable of delivering 16 million IOPS, which is one of the highest performance system in the whole industry. Our global service and management software have [indiscernible] for the Supermicro 3.0, they provide a Tier 1 experience for our server and storage portfolio. They create a stronger and deeper relationship with our customers. Our service teams will [indiscernible] with our enterprise customer to provide a high-speed performing in most efficient datacenter in the world. Our software tools are tightly integrate into our customer environment [indiscernible] We achieved $50 million of [indiscernible] from global service and management software in 2017, that is nearly doubled from the last year. And we will continue to double yearly moving forward. With higher margin and amortize the new model to increase profitability overtime. Looking forward, the combination of new Intel [indiscernible] processor and advanced in NVMe product make this technology transition cycle, one with our most significant activity for our customers [indiscernible] Along with the Supermicro 3.0 we have the foundation, the product and a strong pipeline to maximize the advantage of this technology transition. We believe that fiscal year 2018 will be one of the strongest years in Super Micro’s history. For more specific on our fourth quarter, let me turn it over to Howard.
Howard Hideshima: Thank you, Charles and good afternoon everyone. I will focus my remarks on earnings, gross margins, operating expenses and similar items on a non-GAAP basis which reflect adjustments to exclude stock compensation expenses. Reconciliation of GAAP to non-GAAP is included in the financial statement of the company in today’s earnings release and in the supplemental details in the slide presentation and prepared remarks accompanying this conference call. Let me begin with the review of the fourth quarter income statement. We end fiscal year 2017 with a record $717.9 million in revenues for the fourth quarter and executing on a number of strategic investments which put us in a very strong position as this technology refresh cycle begins. The investments across a number of markets vertical and geographies around the world have expanded our business opportunities with the host of new and existing customer especially in large enterprise. The increase in revenue from 36.9% from last year was wide spread across our market vertical such as enterprise, storage, IoT and accelerated computing this was offset in part by a decline in IDC. On a geographical basis we had strong growth in Asia, Europe and the U.S. The 13.7% sequential increase in revenue was primarily driven by strength in Asia in particular China once up 35% as we leveraged our growing partnerships. Non-GAAP gross margin was 13.5% down, 60 basis points from 14.1% a year ago and down 50 basis points from 14% sequentially. The decrease from prior year and sequentially was primarily due to cost increases in memory and SSD. Higher sales in Asia, which is typically more competitive and sales of later-stage life cycle products also affected margins. Offsetting these work, operational efficiencies which we have made over the past few years through capacity utilization, economics of scale, more complete solution sales with higher content of software and services. Non-GAAP operating margin was 4.5% up 1.4% from 3.1% a year ago and 20 basis points from 4.3% sequentially. The increase from prior year and sequentially were primarily due to growing revenue at a faster pace than our operating expenses. This year, we plan to tighten our headcount and expense control with the goal of continuing to leverage the investments we have already made and drive improved profitability. Net income was $20.7 million up 100.2% from $10.4 million a year ago and up 2.1% from $20.3 million sequentially. On a non-GAAP basis fully diluted EPS was $0.39 per share which was up from $0.20 per share a year ago and up from $0.38 per share sequentially. The number of fully diluted shares used in the fourth quarter was $53 million. Turning to free cash flow on a sequential basis. Cash and cash equivalents, short and long-term investments were $115.9 million, up $5.4 million from $110.5 million in the prior quarter. In the fourth quarter free cash flow was a negative $12.3 million primarily due to an increase in AR of $92.1 million offset in part by a decrease in inventory net of accounts payable of $40.9 million. The increase in AR was primarily due to higher revenues which accelerated late in the quarter. Overall cash conversion cycle days was 95 which is five days lower than the prior quarter and four days higher than the same quarter of last year. We didn’t expect the SSD and memory issues to last through the end of the calendar year. Now for a few comments on our outlook. As we enter the first of fiscal 2018 we see strong growth opportunities from a technology refresh cycle which is just started. We continue to see strong traction for our leading solutions in our growing customer base especially in large enterprise. Lead factors coupled with the investments we’ve made in our future, during the past few years gave us strong momentum to accelerate our growth in the many market verticals we serve as exhibited by last quarter’s result. Therefore the company’s currently expect net sales for the quarter ending September 30, 2017 in the range of $625 million to $685 million. Assuming this revenue range the company expects non-GAAP earnings per diluted share of approximately $0.30 to $0.40 for the quarter. At the midpoint this will represent an increase of 24% in revenues and 9% in EPS from the prior year. We continue to expect to reach the $3 billion run rate by the end of the calendar year. It is currently expected that the outlook will not be updated until the release of the company’s next quarterly earnings announcement with subsequent development. However, the company may update the outlook or any portion of it at anytime. With that let me turn it back to Charles for some closing remarks.
Charles Liang: Thank you, Howard. We finished the fiscal year 2017 with record revenue and a strong momentum. Supermicro 3.0 provides the foundation and product to take advantage of this cycle of technology transition. We believe that fiscal 2018, will be one of the strongest year in Super Micro’s history. Operator at this moment we are ready for questions.
Howard Hideshima: Operator we’re ready for questions.
Operator: Thank you. [Operator Instructions] And we’ll take our first question from Mehdi Hosseini with Susquehanna Financial Group.
David Ryzhik: Hi, thanks. This is David Ryzhik for Mehdi. Just a few, if I can. The midpoint of your revenue guide comes out to around – down 9% Q-over-Q. Just wondering what are the factors there particularly given that year entering the product cycle. It assume that it would be ramping in the September. And I had a follow-up. Thanks.
Howard Hideshima: This is Howard. Yes, we are seeing the ramp up as Skylake has launched here. Again, [indiscernible] is seasonally soft and this guidance is about seasonal averages.
David Ryzhik: Got it. Thanks. And regarding gross margins if memory pricing was at 50 to 70 basis point hit and I assume it was 70 basis point that would have put your gross margins at 14.2. Given the, in this June quarter, given the high volume, the favorable mix from the lower Internet data center just would have thought that the normalized gross margins would have been higher perhaps from capacity utilization. Can you just talk about what are the other impacts, I mean you mentioned Asia business. Can you just elaborate a little bit more on some of the mix and if there is any kind of pricing impact that we should be aware of in gross margins. Thanks.
Charles Liang: Last quarter memory and flash drive grew more than 20% and this quarter although we – we are seeing an improvement may grow 10% for [indiscernible] for the whole quarter I hope. So the price stay high. And that is why I would try to be conservative because for memory, for flash [indiscernible] are a known factor.
Howard Hideshima: And David I’d just add to what Charles was saying with regards to that. Again, we are at the end of the technology refresh cycle when coming into a brand new technology re-price cycle, specifically at the end of the cycle, our pricing gets a little bit more less on the older technology.
David Ryzhik: So, I guess the fall would be, should we expect given that you are entering the product cycle the favorable margin impact, should we expect QoverQ increase in gross margins.
Howard Hideshima: Yeah, I think the ramp for the product cycle we talked before, it is probably going to be towards the December quarter, you need to take some about two quarter to ramp the production through the new chip set.
David Ryzhik: Great thanks so much.
Operator: And we will move to our next question from Aaron Rakers with Stifel. Please go ahead.
Joe Quatrochi: Great this is Joe Quatrochi on for Aaron. Thanks for taking the questions. Just want to go back to the September quarter guide and I am talking about that it is a above seasonal, Skylake is going to be more of a kind of December quarter story a ramp, what’s the kind of outline driver for the September guide?
Howard Hideshima: Well I think we talked about a number of new engagements and new customers that we are bringing on board. The pipeline is very strong.
Joe Quatrochi: Okay, maybe can you talk a little bit about the growth you are seeing in China, what is driving that. Is it the FiberHome, partnership or something else.
Charles Liang: Our presence in China continue very be strong and we see a – we continue to gain a major partner, I mean especially a large corporate. And in that channel we will continue.
Joe Quatrochi: Okay, thanks and then just a quick follow-up on the gross margin. I don’t think, and may be I have misheard the manufacturing utilization this quarter and do you think this could be the bottom of gross margin as we kind of work through some of those memory cost increases.
Charles Liang: We hope so.
Joe Quatrochi: Okay thanks.
Operator: And we will take our next question from Brian Alger with Roth Capital Partners.
Brian Alger: Hi guys good afternoon, congrats, on a good finish to the year. Obviously a bit challenging with memory, but congrats on the loss. As you look in, the full year outlook that you talked about, Super Micro 3.0, is there this diversification that you are now enjoying. Is there a new focus for the company or is diversification really the name of the game as we look going forward.
Charles Liang: As you may know, we invested a lot, as we grew a 50% engineering manpower. That is why we are able to implement our global service team and we are able to make our service reach, datacenter management, completed already, so we saw those were the I mean now we are able to continue to gain enterprise customer. In 3.0 [indiscernible] last clear miles we won more than 50 large enterprise customers. And deeply we believe we will accelerate the large enterprise customer gaining.
Brian Alger: Fantastic.
Charles Liang: That mean we are truly integrating function like a two tier one company that which are including service.
Brian Alger: Great. And I guess maybe a technical question, obviously storage was a really strong performer in this past quarter up significant both year-on-year as well as sequentially. In the past, historical Super Micro, you guys just ship a lot of JBOD basically. Now you guys have a very strong NVMe product portfolio and I’m curious as to how much of your storage solutions you stays are solid state as suppose to rotational?
Charles Liang: And [indiscernible] we grew above 30% in that storage season mobile and looking forward, we will continue to have a strong growth in storage, especially NVMe space.
Brian Alger: Is there a margin difference? If we normalize availability of NAND and DRAM. Howard, is there a significant difference in terms of the gross margin that you guys can generate with these NVMe systems as suppose to the JBOD systems that you were shipping previously?
Charles Liang: Basically NVMe new technology, we suppose to have much better product margin. However with that shortage, and to sent them we need a much more area because we are past growing. So in that case, we had to pay premium to gain more [indiscernible] that’s why margin was low.
Brian Alger: Understood, understood. Okay, thanks, again and congrats on the rest of the year.
Charles Liang: Thank you.
Howard Hideshima: Thanks.
Operator: We move to our next question from Nehal Chokshi from Maxim Group. Please go ahead.
Nehal Chokshi: Thank you. Two part question here, so first memory in NAND flash prices increases for the quarter. How much was that you guys on a [indiscernible]
Howard Hideshima: Well, as Charles mentioned earlier, we saw price decreases around 20% within the commentary, I said there has about 50 to 70 impact to our gross margin.
Nehal Chokshi: Okay. So I guess there is some customers that did not have some price increases where you had an existing fixed price contract. And what I’m trying to get as – there must have been some percent of customers that didn’t accept that. And A, what is that percent? And then B, it seems like, given the incremental revenue and then there was actually negative incremental EPS as from what I can help that this was actually a negative incremental gross margin business, because they didn’t accept the increase price. So be that correct, and then if that is correct, why honor that contract?
Howard Hideshima: Again, the contract was in place, its expiring [indiscernible] you negotiated. So again, we had contracts there. We terminated, but again, the volume went up and a bit hard as a bit as we mentioned earlier in our press release. We’ll soon rectify.
Nehal Chokshi: Okay. If I may, I’d like another follow-up questions different topic. At ASP per server really took off, it was up 43% year-over-year and 13% Q-o-Q, what’s behind its a significant increase?
Howard Hideshima: Well, I think like I said we’re getting to more full boxes now. As Charles mentioned we’re building our breadth into the large enterprise that customers and if I’m customers are taking full boxes, previously if you remember our server solutions category had everything from barebones to complete services. So we’re now moving or into complete server solutions including software and support services.
Nehal Chokshi: Okay, thank you. I’ll move back into the queue.
Operator: We’ll take our next question from Alex Kurtz with KeyBanc Capital Markets. Please go ahead.
Alex Kurtz: Hey guys, can you hear me okay?
Howard Hideshima: Okay, Alex.
Alex Kurtz: Great. So just on some numbers here, what was the utilization rate in the quarter and what was the merging growth - the emerging storage growth rate?
Howard Hideshima: Yes. For the quarter, Alex is about 60% on utilization.
Alex Kurtz: Yes. And the emerging storage names.
Howard Hideshima: Let me get back to you on that question.
Alex Kurtz: Okay. My question for you guys is just taking a deeper look here at the datacenter business obviously IBM was a tough comp in fiscal 2017, but even if you I think exclude IBM out of the datacenter number was down this year in fiscal 2017. Historically the VIP, IDC business has been a good business for you guys. So what’s going on there, even if you exclude IBM, it looks like things were down in this business. Can the IDC business grow in fiscal 2018 at the same growth rate of, as the rest of the business?
Charles Liang: Yes, indeed in that year, including last quarter. The major challenge to us was the [indiscernible] memory. Not just the price is high, but in lot of case, we had to wait for memory. So now we have memory and some time we had to wait for refresh. So that kind of intact and that is why we have the best IDC, Internet data center especially.
Alex Kurtz: So memory specifically held up projects, Charles, is that right?
Charles Liang: Your question, again.
Alex Kurtz: So memory impacted your ability to deliver on some opportunities in the IDC space. Is that what you are saying?
Charles Liang: The part of the reason, but also because memory price is so high and as you know, internet data center probably margin basically more than it. That is why we had a bad sale in the area.
Alex Kurtz: And just last question for Howard, I can get this story somewhat later, but what would stop you from getting back to like a 15% plus gross margin exiting fiscal 2018? Howard, assuming that memory does play out the way, you think it does, and you have Skylake kicking in which always is helpful for you. So why can’t investors think about a 15% plus kind of gross margin on exiting fiscal 2018, if all of those things were to come together?
Howard Hideshima: I think it is largely to – while we talked about here Alex, we have got a numbers of investors, who will be leveraging our investments, being better on our operational efficiencies and operating expenses. So obviously there are a lot of opportunities for us to grow that margin, through this year, especially with the refresh cycle coming. With regard to – I just sort back on the next-gen it was about 76% year-over-year growth.
Alex Kurtz: And do you guys still feel that you did have that one vendor that was acquired by a larger OEM. And that hasn’t impacted your emerging storage business yet?
Howard Hideshima: No it hasn’t and probably it would provide with great opportunities going forward as well.
Alex Kurtz: To work with that OEM that acquired that company? Okay. Great, thank you.
Operator: [Operator Instructions] We’ll take our next question from Nehal Chokshi with Maxim Group. Please go ahead.
Nehal Chokshi: Yes, thanks, one housekeeping question, number of subsystem units?
Howard Hideshima: Number of subsystem units was 1 million and 14 thousand.
Nehal Chokshi: Okay, thank you. And then of the 15 new large scale enterprise customers in fiscal year 2017? Having them began in this quarter?
Howard Hideshima: Can you say that again, Nehal, sorry.
Nehal Chokshi: So in the presentation there was a statement that there was 15 new large scale enterprise customers during fiscal year 2017. I’m wondering how many of those actually started deployments within this June quarter?
Charles Liang: Indeed, [indiscernible] in last year and half of them started move on June quarter. But because it’s new, that’s why the [indiscernible] is not at stake. That’s kind of relatively a very decisive though.
Nehal Chokshi: And so, effectively I think it was like a 170% Q-to-Q increase in the enterprise revenue, was that because of all these new large scale customers? Or was it because you had significant expense from the large scale customers?
Charles Liang: I tell you majority from the new enterprise customer.
Nehal Chokshi: Okay. And then for those that become Super Micro customers at the beginning of the fiscal year. How has cadence of orders been from those large scale customers?
Howard Hideshima: Definitely the opportunities are there and we’re going to be – as we said earlier the pipeline is very good for us.
Nehal Chokshi: Okay, great. Congratulations, this is very encouraging.
Charles Liang: Yes. Last year, we won our belief more than 15 large enterprise customer. This year, we will see at least win another 25 or 30.
Nehal Chokshi: Great, thank you.
Operator: We’ll take our next question from Mehdi Hosseini with Susquehanna Financial Group. Please go ahead.
David Ryzhik: Hi, thanks. This is David Ryzhik again for Mehdi. Just to clarify what percent of total revenue in the June quarter did enterprise make up? And just giving your target of adding 30 new customers in fiscal 2018, do you have a target of what percentage enterprise can make up of total revenue exiting of the fiscal year?
Howard Hideshima: Yeah, for the quarter, David, it was about 8% of total revenue.
David Ryzhik: Great. And do you have a target exiting 2018?
Howard Hideshima: We haven’t put a target out there. Certainly, we have plenty of opportunities.
Charles Liang: Hope…
David Ryzhik: Great, great. And just related to that, how can we think about OpEx for fiscal 2018. You do have an aggressive strategy to add onboard these new customers. I would assume they would require some investment yet in your Slide deck you talked about that leveling off. Just how can we think about the quarterly OpEx has moving through fiscal 2018?
Charles Liang: Yeah, as in that chart we share with you, last three years we grew about 450 engineers, we have to [indiscernible] and pretty much that whole program already established. So, looking for where we don’t have to reinvest actual – don’t have to invest the much actual in business.
David Ryzhik: Got it. And so, I guess, so no real need to invest in sales and marketing capacity to onboard additional enterprise customers or you feel like you have what you need?
Charles Liang: Pretty much ready.
David Ryzhik: Okay.
Charles Liang: We have to hire more…
David Ryzhik: Got it. Thank you. Yep, thank you.
Charles Liang: Thank you.
Operator: And we’ll take our next question from Aaron Rakers with Stifel. Please go ahead.
Aaron Rakers: Yeah, thanks for taking the questions and I apologize for kind of joining a little bit late, maybe some housekeeping things, first. How should we think about the progression of the tax rate?
Howard Hideshima: In the prepared remarks, this is a new concept for us a bit, Aaron. So, if you look at our website, you’ll see some prepared remarks for us. It will say that we do a guy for this quarter of about 34% on the tax rate.
Aaron Rakers: Yeah and I guess I was asking more beyond that. I mean it’s been somewhat volatile quarter-by-quarter over the last few quarters of understanding it somewhat driven by the international mix et cetera. But, again, I think it’d be helpful to understand with some of the taxing that you’ve done over the last few quarters. What should we be thinking about the progression? Where do you think a normalized tax rate kind of falls out for the company?
Howard Hideshima: Well, I think, certainly it gets better for us as we go further and go further offshore and increase our foreign presence, but at this point we’re guiding 34% for the quarter.
Aaron Rakers: Okay, fair enough. If you didn’t have the constraints this last quarter on DRAM and it sounds like maybe a little bit of flash or SSDs as well. What do you think your revenue could have been? Was that a $20 million impact, $30 million, $50 million? I am just kind of trying to frame how constrained you are in terms of fulfilling the potential incremental revenue?
Charles Liang: Indeed, it’s a lot more.
Aaron Rakers: I missed that. Was that a lot more?
Charles Liang: No…
Howard Hideshima: Aaron, I think we’ve done a very good job of managing this – going through the process of managing this. And so quite frankly we’re delivering orders and doing it. We saw some acceleration at the end of quarter, but again we’ve done a very good job of managing this, going through the process of managing this. And so quite frankly, we are delivering orders and doing it, we saw some acceleration at the end of quarter, but, again we’ve done a pretty job of managing the SSD and memory storage.
Aaron Rakers: Okay, how much strategic inventory on memory and SSDs are you carrying, coming out of this quarter? I think last quarter you talked about kind of $63 million of excess inventory.
Howard Hideshima: It is similar to that.
Aaron Rakers: It’s similar to that, okay. And your current view of when things kind of get back to normal, where you’re executing in a quarter that there is no supply constraints. When would you expect that to be?
Howard Hideshima: Yeah, we are not – we haven’t forecasted that, for say, we said [indiscernible]
Charles Liang: It’s in the memory and [indiscernible] program wherever you are getting better from now. So by December quarter, I believe we will see some significant improvement.
Aaron Rakers: Okay. And then the final question, I am sorry to go back to it, but the Enterprise business growing as much as is pretty remarkable. As that grows and becomes a larger potential piece of your overall business. How do we think about the margin profile of that vertical, relative to the margin of your overall business today? It’s relative to the 13.5% growth. I was just trying to understand, how we should think about that, given what should be a positive mix of software, maybe servers that are wrapped around that traditional enterprise customer base?
Charles Liang: Yeah, basically enterprise customer are more [indiscernible] so the margin will be slightly better at least.
Aaron Rakers: Yeah. Okay, any – is it 200 basis points?
Howard Hideshima: We haven’t quantified that, Aaron it’s going to be better.
Aaron Rakers: Okay, fair enough. Thank you very much.
Operator: And that does conclude today’s question-and-answer session. Mr. Liang, at this time, I’d like to turn the conference back to you for any additional or closing remarks.
Charles Liang: Thank you for joining us today and we look forward to talking to you again at the end of this quarter. Thank you everyone, have a great day.
Operator: And this concludes today’s call. Thank you for your participation. You may now disconnect.